Operator: Good morning ladies and gentlemen. Welcome to the Eldorado Gold Corporation Third Quarter Financial Results Conference Call. This call is also being webcast and is available on the Eldorado Gold website at www.eldoradogold.com. I would now like to turn the meeting over to Ms. Nancy Woo. Please go ahead.
Nancy Woo: Thank you, operator. This presentation includes statements that may constitute forward-looking statements or information. Any forward-looking statement made and information provided reflect our current plans, estimates and views. Forward-looking statements are information which include all statements that are not historical facts, are based on certain material factors and assumptions, and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated in or suggested by the forward-looking statements or information. Consequently, undue reliance should not be placed on these forward-looking statements and information. The information contained in our Annual Information Form and in our annual quarterly management discussions and analysis available on our website and on SEDAR identifies factors and assumptions upon which the forward-looking statements and information are based on and the risks, uncertainties and other factors that could cause actual results to differ. All forward-looking statements and information made or provided during this presentation are expressed, qualified in their entirety by this cautionary statement and the cautionary statement contained in our press release, dated October 28th 2010.  I will now turn the call over to Paul Wright, President and CEO of Eldorado Gold.
Paul Wright: Thank you, Nancy and good morning. Good afternoon ladies and gentlemen. Welcome our Third Quarter financial and operating results conference call. Joining me today in Vancouver are Norm Pitcher, Chief Operating Officer; Ed Miu, Chief Financial Officer and the voice you just heard, Nancy Woo, our Vice President, Investor Relations. We will follow the usual somewhat boring format. Following a few introductory comments provided by myself, Norm will give you a run down on the third quarter operating performance and provide some color and guidance in terms of the balance of the year. This will then be followed by Ed, who will give you a brief walkthrough on the balance sheet, income statement and cash flow and then we'll open up for questions. I am very pleased with the quarter's results. Our mines continue to deliver into the plan. This quarter's production of a 151,297 ounces at cash cost of $386 per ounce, keeps us right on track to deliver the 625,000 ounces at cash costs of $375 per ounce at year end. Development at Efemcukuru is proceeding very well. We now have three deep mines being advanced concurrently and with our Turkish mining contractors increasing advance rates weekly and we look forward to starting production at this operation in the middle of 2011. At Eastern Dragon we are gearing up to resume construction and work through the winter, pending receipt of our project permit. We anticipate seeing production starting in Eastern Dragon late in 2011. We are busy reviewing plans and budgets for 2011 and with board approval, anticipate being able to give you firm guidance for 2011 in terms of operating performance and capital expenditures by year end. The company continues to strengthen its balance sheet through strong operational performance and healthy metal prices. This is resulting in the company that is uniquely positioned to continue to grow its high quality production base, expand its reserves, make exploration discoveries that matter and year-by-year increase our return to our investors through increased dividend. With that, I'll hand over to Norm.
Norm Pitcher: Thanks, Paul and good morning or good afternoon, everyone. Let's start with the operations and we'll start at Kisladag. We produced 62,086 ounces and sold 66,113 at a cash cost of 337 per ounce. During the quarter we placed 2.8 million tons of ore in the pad at a grade of 0.98 grams per ton. Strip ratio for the quarter was 1.9:1, and just a comment on the strip ratio at Kisladag. We're stripping a little bit higher than our budget right now. Year to date actual is about 1.5:1 and that's really because as this peak rolls bigger, the strip ratio is going to slowly increase a little bit, and we've got excess capacity in the fleet right now. So we're doing the right thing by increasing the stripping a little bit. The phase three leach pad expansion is on schedule. The pads will be finished in Q4 and we're finishing up engineering and procurement on the conveying and stocking system for that. That complete system will be ready in Q1 2011. We've had a ten day shutdown of the crushing system to tie in some of the new equipment. During that time the ADR plant kept going. The next shutdown that we expect to finish that up; will be about a five day shutdown in the first quarter of next year. On to Jinfeng; we produced 46,116 ounces and sold 45447 at a cash cost of $425 per ounce. We processed 387,000 tons of ore at 4.42 grams per ton. We mined just about a 100,000 tons from underground and 312,000 tons from the open pit and the strip ratio for the quarter, from the open pit, was about 11:1. As we mentioned, seasonal rainfall did slow us down a little bit in the pit, but we remain on budget in terms of material movement and the rain has slowed down quite a bit. Tanjianshan, we produced and sold 28,847 ounces at a cash cost of $391 per ounce. We processed 283,598 tons at 3.84 grams per ton and mined about 347,000 tons out of the pit at a strip ratio at 2:1. Really no operating issues to speak of at Tanjianshan. We had a three -- almost a three week shutdown -- scheduled at the roaster in October for maintenance and that was done at the same time as the scheduled power outage. Right now we've finished and sold 14,248 ounces at cash cost of $477 and that came from milling a 154,000 tons at above 4 grams per ton. We also mined 146,000 tons from underground, which is pretty much on budget. We've now lined with concrete, the portion of the river, which flows over ore body, which we think will significantly reduce the inflow to the underground mine. On the development side, as Paul mentioned, the underground development is going very well. Three different headings now. We've done over 500 meters of development, up to the start of this week and the Turkish contract is performing quite well. The middle tunnel -- the conveyer tunnel is 30 meters from the first ore zone and the Kisladag decline has 20meters to go to the $650 level, which is the first production level in the South ore Shoot. At the plant, we're concentrating on the electrical and instrumentation, and dry commissioning if the smaller equipment. The tailings and rock dump have been -- construction has finished there and those facilities have been lined and are ready to go. At Tocantinzinho field work for the pre feasibility study is ongoing, including geotech drilling and ground water monitoring. We're reviewing the process and designing perimeters there and advancing the studies needed for permitting of the power line and road. In Perama in Greece, we have the regional elections coming up in early November and we continue to monitor the status of the TEIA at the ministry of environment. Vila Nova iron ore, the first shipment which is 45,000 tons of lump is being loaded right now, and we have a second ship ordered. Trial mining is going well there. We're certainly happy with the quality of the ore, still working out some bottlenecks in the plant but things are progressing quite well there. Eastern Dragon, as one of our more creative analysts said, permitting is dragging along and it is to a certain extent but we still feel that the permits will be obtained probably in November, which will allow us to construct and to plant throughout the winter and will get us into production late in 2011. On the exploration side, we've got a busy Q4 coming up, about 35,000 meters drilling in 10 areas. Look for an exploration update probably mid to late November. In Turkey we're drilling at the MH project, which is an early stage IOCG target; hasn't been drilled before. We're drilling two new [corporate] centers at AS. At Efemcukuru during the quarter, we'll be drilling at Tokar Panar, the parallel vein system to the main line and also step out of (inaudible) to the north of the North Ore Shoot. And at Kisladag we are in our Phase II drilling program of the year, which is about 9,000 meters total and about 3500 meters left for this quarter, which is really a sort of step out drilling program and some infill holes as well. In Brazil, we've got drilling in Tocantinzinho. We're doing some new IPJ physical targets which will amount to about 2500 meters during the quarter. In China on exploration of White Mountain we continue with the posit step out drilling at the White Mountain mine and we'll continue drilling at Xiaoshiren which is a new license we acquired close to White Mountain. We started that program about three weeks ago. That will continue throughout the fourth quarter. On the Jinfeng, most of the drilling is going to be underground resource definition drilling, but we're also testing a couple of exploration licenses in the surrounding area. At Tanjianshan the 323 drilling is done for now and we are finishing up the resource and that will be part of the exploration update to come in November. With that I'll turn over to Ed.
Ed Miu: Thank you Norm. Good morning or good afternoon ladies and gentlemen. Starting off on the balance sheet, September ending asset balance of $3.75 billion increased by approximately $220 million in the third quarter and $317 million year to date, mainly due to increases in cash, capital investments, and the Brazauro acquisition. Total cash balance at the September month end, was $339 million, an increase of $32 million dollars in the quarter and $74 million year-to-date. The year to date cash increase is principally derived from operation, proceeds from the sale of some assets, plus cash generated from exercise of share options. This was partially offset by $152 million of capital expenditures and the dividend paid out in the second quarter. As of the end of September, total liabilities amounted to $799 million, an increase of $30 million since the year end, as a result of future income taxes, up from the Brazauro acquisition, partially offset by payments in the first quarter of transaction fees related to the Sino Gold Acquisition, which were approved for at the year end last year. Moving onto the statement of operations and regained earnings, this year third quarter's gold sale revenue of $190 million at a year-on-year increase of $109 million or 233%, for the first nine months the year-on-year revenue increase was $364 million or 270%. The significant increases were accounted for by production increases in Kisladag and Tanjianshan mines, coupled with the additions of Jinfeng and White Mountain from the Sino Gold Acquisition. In other contributing factors, the higher gold price which increased from an average of $957 per ounce in the third quarter last year to $1,231 this year. With the higher production and the Sino Gold acquisition operating cost, PBNA and interest expenses all end up year-over-year. Year-to-date G&A cost also increased by about $60 million from last year, primarily due to such expenses including stock based compensation being higher as a result of the Sino Gold acquisition. Net income of $49 million in the third quarter increased from the same period last year by $90 million and by $93 million on the year-to-date basis. This includes a non-cash foreign exchange unrealized loss of $30 million occurred in the quarter as a result of the weaker U.S. dollars impact on future income tax liabilities, denominated in the operating local currencies. This loss impact was partially neutralized by a $7.6 million gain from the sale of the Adedeji Turkish Loyalty interest during the third quarter. In terms of diluted earnings per share, it was $0.09 this quarter versus $0.08 for Q3 2009, and for year-to-date $0.30 this year versus $0.18 last year, an increase of 167%. On the cash flow statement $96 million of cash was generated from operating activities before non-cash working capital in the quarter, compared to $34 million in Q3 2009. This translates into $0.18 per share in the third quarter versus $0.09 last year and for the nine months period ending September it was $260 million this year versus $90 million last year or $0.50 and $0.24 respectively on the per share basis. In spite of the of the highest cash generated from operations year-to-date net increase in cash of $74 million this year was slightly less than the $88 million generated last year. The year-over-year decrease was attributable to capital expenditures being $89 million higher this year, coupled with this year's dividend payment and a $30 million cash receipt in the first quarter last year from the sale of the Sao Bento mine. All in all it was a strong quarter; in nine months were Eldorado in terms of financial performance. With that I now turn it back to Paul.
Paul Wright: Thanks Ed, thanks Norm, operator we'll open up for questions please.
Operator: (Operators Instructions). Our first question is from [Ron Paul with Canaccord Genuity]. Please go ahead.
[Ron Paul - Canaccord Genuity]: Hi everyone, could you do us an update on the Jinfeng underground ramp up in the expected time line, looks like you're currently at 400,000 tons a year from underground, expected to increase to 600,000 tons a year in 2011 and then eventually to one million tons a year. When do you expect to reach the one million tons a year level?
Paul Wright: Well that's really – that's all part of the study we're undergoing at Jinfeng right now and I don't think that we can put a date on when we'll get that target, its really a matter of figuring out – it's a matter of finishing the resource drilling that we're doing right now and looking at what the optimum open pit is and that description that it would be underground and you're going to appreciate there is a lot of look at for both the underground and open pit scheduling. 
[Ron Paul - Canaccord Genuity]: When do you expect to have the study done?
Norm Pitcher: Well you'll see – I mean you'll see us in the first quarter coming out with reserve estimates for all of our operations which will provide the plot from up to which to revise the production schedule going forward, I think a couple of months out.
[Ron Paul - Canaccord Genuity]: Okay thanks. That's it for me.
Operator: Thank you. Our next question is from Mike Curran from RBC Billing and Securities. Please go ahead.
Mike Curran - RBC Billing and Securities: Good afternoon gentlemen, I just wanted to maybe get some update on exploration plans for Q4 and through the winter of Q4 and Q1 next year on and from there some of the properties in Northern China, your going to assess whether your going to be able to get much work done there or you have to come back in the spring?
Norm Pitcher: Yeah I mean at Eastern Dragon and that will be matter of coming back. Eastern Dragon will focus on the construction through the winter, I don't think we'll – we're not going to try to drill up there during the winter. We'll probably start sort of April of next year, around White Mountain we'll keep going and we got a fair bit of drilling left to do in the quarter at both the White Mountain operation and at Xiaoshiren.
Mike Curran - RBC Billing and Securities: Great thanks.
Paul Wright: Mike we're sending a large a large box of thermal underwear to China.
Mike Curran - RBC Billing and Securities: Keep the mine building guys; I'm going out for sure.
Operator: Thank you. Our next question is from David Haughton from BMO, please go ahead.
David Haughton - BMO: Good morning Paul, Ed and Norm. I saw that you've revised your CapEx for this year 240 down about $40 million what sort of CapEx can we expect for you to spend at Efemcukuru this year and also at Eastern Dragon? I presume they're the once that kind of have some slippage into next year.
Paul Wright : Most of the slippage is Eastern Dragon, David almost all Eastern Dragon, Efemcukuru where the underground development being pushed now in three phases, we're spending money at a fairly handy rate.
David Haughton - BMO: And what kind of figures should we be thinking about this year for Eastern Dragon? Would it be around about 40 mil mark maybe?
Paul Wright : I don't think it will be that high however.
David Haughton - BMO: Okay and presumably whatever goes out of this year is straight into next year, so maybe next year, what kind of stuff are we looking at for CapEx there?
Paul Wright : And that's what we're doing in terms of updating our plans and budgets, but I think you can certainly – then the guidance we gave previously for 2011, I think we pointed towards around a 135 million, so the most obvious thing to do would be to take 40 million deficiency and add that in your closer with that number, but other that today, which your going to have to find your way until we give you guidance.
David Haughton - BMO: That's fine and for Eastern Dragon heard in your initial commentary looking like 2011, does that still provide them and you get your permits within the next few months. Could we see probably more like 2012?
Paul Wright: No I think as long as we get the permits in the next month or so end of 2011 is a very reasonable schedule. This is not a big mine, it's a matter of resuming construction, it's not a matter of starting from scratch.
David Haughton - BMO: Alright, your thinking about Efemcukuru, could you be thinking about commercial production mid 2011 or are w looking more like fourth quarter sort of thing?
Paul Wright: I would say commercial production is more like third quarter.
Norm Pitcher: Yeah mid-to-third quarter.
David Haughton - BMO: Alright and Perama Hill it's still a bit of a question here on permitting. Previous guidance had been up and running in 2013, is that still achievable on Perama Hill?
Norm Pitcher: Look it depends, this is all linked to permitting David, having and so what we've experienced as I described before about a three moths slippage in permitting, that's what we're looking at. We would understand if we'd been delayed a little bit because of the timing of the mid term elections. To be perfectly frank, until we give you other guidance you live with what you got. I know you have to be pre-occupied as to which week and which month and which year, but from our perspective it's not what we focus on right now.
David Haughton - BMO: All right, back to something that is within the operational realm, looking at the recoveries at Mount White, it looks like it surrounded about below 70's, it has been kind of something around the – that kind of level for a while. What do you say is your target recovery there?
Paul Wright: Yeah, it will come up from there and we should – I think it should get up to high 70's – low 80's.
David Haughton - BMO: Okay, is it sort of a grade related thing; is there a constant (inaudible) is she getting a better the grade you get better?
Norm Pitcher: No, its more of a – you've got a small component in the ore body that has more – a little bit more sulphide in it. It's probably mildly refractory and because of the mine planning and – I think we talked about this before as well because of the mine planning sort of where we ended up in the last couple of quarters and it had been in part of it that contains a percentage of this ore. As we move the decline to the north and start mining other areas, that should lead to an increase in recovery.
Paul Wright: I think what happened here David is when we is when we acquired the mine from Sino Gold and I mean that we simply under developed where we had very little flexibility in terms of where the mine could draw production from and we've been impacted by the fact that there is ore developed at these somewhere refractory metals with characteristics, so that's what dominated the picture for 2009, as we get further advanced and developed in creating more flexibility in a mine plan, you'll see this becoming a less significant part of the production.
David Haughton - BMO: Yeah, on the other hand your looking at Kisladag the recovery ratio looked better this quarter; it was up around the 70's instead of backing up the numbers around about the 60's.
Paul Wright: David it's a mugs game looking at RJPs and looking at recoveries from month-to-month, quarter-to-quarter. Its – I think what we've said constantly is a metallurgical response that we're seeing from this heap is at or -- if not slightly better than design and not hasn't changed and – and again hopefully as we've mentioned in our press release by year end, we'll be able to be more specific in terms of the fairly detailed additional metallurgical test we're doing on the ore resources.
David Haughton - BMO: With that various times that you've got scheduled for the backend of this year, this is all related to the expansion to top in terms per annum, is that it kind of rate that we should be thinking about for 2011 for your stacking right?
Ed Miu: Yeah.
David Haughton - BMO: And I presume and also given that the 10 or the Gold body and it keeps on surprising on the upside that are you looking at expansion plans well beyond that as well?
Paul Wright: Yeah, again David we need to come to the end of really the resource drilling and get a handle on the size of the mineralize body before we start looking at what may be the future expansion capability for the project but as we talked about before it's – at face value, the size of the resource in the production rate in our cue could appear to most people that it's somewhat mismatch.
David Haughton - BMO: Okay. So, it's something that additional drilling will help formulate the mine. This is something you'll see – do you think when you're coming out with your reserves, will you come out with some thinking about where you can go from here, at the Kisladag?
Paul Wright: We'll come out with the fact that we're thinking about where we can come.
David Haughton - BMO: All right. Thanks Paul, thanks Dave, thanks Norm.
Operator: Thank you. Our next question is comes from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith - Haywood Securities: Thanks operator. Good morning everyone. Norm As I remember you needed to amend DIA for Kisladag over 12 million ton of your rate? Is that done and is that all approved now?
Norm Pitcher: No, it's just being submitted but as I said it's not a – because it's an amendment, it's not a long-time frame for that one Kerry.
Kerry Smith - Haywood Securities: Okay. So but that shouldn't hold up the –
Norm Pitcher: No, we don't think so. It should be fine.
Kerry Smith - Haywood Securities: Okay. Okay and can you give a breakdown sort of the guidance for this year in the 625,000 ounces, how that split help between the mines?
Norm Pitcher: Kerry, we gave guidance at the beginning of the year mine by mine which made up the initial range and then we upwardly guided the total for the year end. We're down to the last so you can just extrapolate where it is going to come from. 
Kerry Smith - Haywood Securities: Okay. And Ed, at Eastern Dragon, one should get the permit and you're able to start construction. How long do you think it will actually take to complete the construction?
Ed Miu: Well, we're going to slow it down a little. We're going to be a little conservative on the schedule because of the construction due the winter. So you are probably somewhere between eight to 10 months.
Kerry Smith - Haywood Securities: Okay. From the time you actually get because once you get from permit presumably you are moving ahead ASAP and then –
Ed Miu: That's correct.
Kerry Smith - Haywood Securities: To 10 months laid up.
Ed Miu: Yeah.
Kerry Smith - Haywood Securities: Okay. Okay and then Norm then on accrual, you know, you're behind obviously, is there any chance that there could be a bit more slippage in the schedule or are you pretty confident now with the capital you've spent, the progress you've made that it will be middle to next year that you'd be commercial there?
Norm Pitcher: No, I think we're pretty confident with that now. Yeah, I mean the development has really picked up here lately and I sort of gave the figures we're about to hit the horizon on the – a crush or decline and we're about to hit our first production level in the south. Yeah, I think we're in pretty good shape there now.
Paul Wright: One of the reality there, Kerry, is we have as you know having visited the site as we have very little surface ore storage for ore. So once Apollo start developing in ore, we better have somewhere to put it not some more to it as a Mill, so it's this one of the reason why we push heavily upfront to get the Mill as this advanced quickly as we can. So I mean I think you're going to see production so to speak in terms of we're going into that Mill, quite early in 2011 just some because we need to have some more to put this –
Kerry Smith - Haywood Securities: Right. Okay and with this in terms of Efemcukuru, if you had to put a percentage toward in terms of completion today, are you – 75% complete or 90% complete or like in terms of the overall project like you have ore tomorrow available when would you be able to mill it or is it three months away or –
Paul Wright: Let's say a little bit less in that probably –
Kerry Smith - Haywood Securities: Okay, because you're going to have ore pretty quick here in the next 30 days.
Norm Pitcher: Yeah. We're going to be putting ore into that mill in the first quarter of this next year Kerry. I mean it's then just a matter of taking the time it takes to get the underground up to for a run rate and we're not trying to be evasive here but the Turkish contractor is ramping up and the production rates we're seeing having them are improving every weekend. As we get into the multiple heading faces in all of these three declines then we're going to and reach somewhat steady state on production levels, and advance rates, we're then going to be able to take this much more accurately. All right, in terms of when we're going to be seeing mine production at the level that we need to sustain the mill. But it's – the mill is not on the critical path.
Kerry Smith - Haywood Securities: It's not.
Norm Pitcher: No, around development, yeah.
Kerry Smith - Haywood Securities: Okay. So development is the issue.
Norm Pitcher: Right. It's not an issue it's just remember where we at.
Kerry Smith - Haywood Securities: Yeah, okay. And then on the other, I know you're going to look at sort of a scoping study on 18 length of year scenario for Kisladag. Is that still sort of completed by yearend of next year that's kind of the plan?
Norm Pitcher: No. We're going to look at I guess Paul mentioned. If you look at the overall reserve there in the current mine like, it kind of mismatch so we'll -- we're going to be looking at but there's no timeframe for that to be -- for either a production rate or a time.
Kerry Smith - Haywood Securities: Okay. And just last question if I could. Just on Perama from the day you actually decide to go ahead, is it still roughly 24 months, do you think to build that or is it truly just sort of –
Paul Wright: Yeah. Maximum, okay.
Kerry Smith - Haywood Securities: Okay. Great, thanks a lot.
Operator: Thank you. Our next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni - Credit Suisse: Good afternoon, Paul and Norm. Just a question with regards to looking at Jinfeng and Tanjianshan shutdown in the quarter?
Paul Wright: No, it was – just with a – location on Tanjianshan and both had scheduled shutdowns.
Anita Soni - Credit Suisse: Yeah. Sorry, with Kisladag and you said this the next one would be Q1, ADR plant try to shutdown that was –
Paul Wright: No, not the ADR plant will be crushing system. The ADR will keep running.
Anita Soni - Credit Suisse: Okay. So Kisladag is already through this Tanjianshan shutdown.
Paul Wright: Yeah, that's right, yeah.
Anita Soni - Credit Suisse: Okay. In the third quarter then.
Paul Wright: No, it's actually yeah, within this month. Yeah, we just finished it actually.
Anita Soni - Credit Suisse: Okay. And then the second question is with respect to your exploration budget for the year. Is that – could you remind me what was and or you're maintaining that or is that a little bit understand?
Paul Wright: Yeah, it will be a little bit under rebate. The original one was about 30; I think we put this all this for 35 million. They were probably looking at 32 or 33 something like that. You know, we've gone, we are obviously under in China because of Eastern Dragon but we've done more than we've budgeted Brazil because of Tanjianshan.
Anita Soni - Credit Suisse: Just with respect to the cost at sorry at Tanjianshan, the unit cost, can you let me know I think I calculated they were kind of trending on upside and can you let me know actually where that would be on the mining or the professional front?
Norm Pitcher: I wouldn't say that they're trending upward.
Anita Soni - Credit Suisse: This quarter there's a little bit of a -- is that a one-time thing or do you think they are -- or am I wrong in my calculation?
Norm Pitcher: Yeah, I don't think -- yeah, yeah. I don't – that doesn't look right to me.
Anita Soni - Credit Suisse: All right.
Norm Pitcher: No, it doesn't look like they're trending up.
Anita Soni - Credit Suisse: All right. Then, that's it for me. Thanks.
Operator: Thank you. Our next question is from Dan Rollins from UBS Securities. Please go ahead.
Dan Rollins - UBS Securities: Gentlemen, just quickly on Tanjianshan. The planned regional power outage -- how long did that last?
Norm Pitcher: It was about two weeks.
Paul Wright: Yeah, about two weeks. And that's not – it's not an annual thing. It's -- well it's the first one -- I guess the first one we've had since we've been in operation at Tanjianshan.
Dan Rollins - UBS Securities: Okay. Moving on just Efemcukuru, where – how many – what's left to buy on the land acquisition so you can get your operating permit once you're good to go there? Is there many properties left, one or two?
Paul Wright: Got two fields I think.
Dan Rollins - UBS Securities: Good.
Norm Pitcher: And nothing that's in the -- nothing that's actually in the construction area or operation area.
Dan Rollins - UBS Securities: Its just a buffer zone, right?
Norm Pitcher: Yeah, its also the health protection zone.
Dan Rollins - UBS Securities: Okay. Just quickly in the Vila Nova, you talked about getting your throughput up to desired levels. What the plant currently running at in October?
Paul Wright: Well, yeah. It's not at full capacity, let's put it that way. We're still – this is very much a trial. If I gave you a number it wouldn't mean that much because we'll run it, then we'll shut it down and we're looking at that the crushing in screening systems. So we're not trying to get the plant up to full capacity right now. We're really trying to look at where the ball mix are and deal with that.
Dan Rollins - UBS Securities: Okay. And the two this -- it's just quickly. Just when you get going on there, what size are your shipments usually when you ship your….
Paul Wright: 45,000 tons.
Dan Rollins - UBS Securities: 45,000?
Paul Wright: Yeah.
Dan Rollins - UBS Securities: Perfect. Thanks very much guys.
Operator: Thank you. Our next question is from Barry Cooper from CIBC. Please go ahead.
Barry Cooper - CIBC: I'm wondering if you can give us a bit of a progress update on some of the work that you've been doing on the (inaudible) back there. I think Paul you indicated you were going to kind of divulge things at year end but I'm just wondering if you can give us any indication. Are you just reinforcing that what you already knew or is there anything new coming out of what the work is that you're doing?
Paul Wright: Well, Norm will probably jump in here as well. My sense is we're reinforcing what we sense that and what we're seeing is that things are perhaps a little bit better than what we had originally hoped for but the objective here is obviously to do a detailed examination of not only existing ore resources but future ore resources so that we can come up with something that's just a bit in terms of a number -- a revised number shall we say that will go, will be incorporated in updated production schedules as well as updated reserve estimates.
Norm Pitcher: Yeah, I think one of the more important parts of this Barry is that we're -- we're -- now that we're a few years into the ore body, we sort of understand the ore types, buying and particularly the alteration types and we sort of set the column, test or gains of about 17 columns running on site and we're doing it all by ore types. So now we can sort of say well, we got – we think we've got this percentage of this alteration type or ore type in the ore body and it's going to give this sort of recovery whereas before really what we had is more sort of composites through the ore body.
Barry Cooper - CIBC: When you give us the results, coming down and just have one ore type and one recovery for us. Well, we'll get too confused if you give us too much then.
Paul Wright: I know. We like to keep the word simple, Barry. You know that.
Barry Cooper - CIBC: On your contractor for Efemcukuru, how are you finding them because I think underground mining is a bit of -- while moving on, underground mining, maybe not underground tunneling might be a bit of a normal thing for them and so as consequence any problems that you are facing there concern to that fact because obviously now going into the mining aspect and obviously dealing with folks somewhat of a new thing for them.
Norm Pitcher: I don't think there are really any real concerns I want to make say the contractors in general are more used to tunneling and ramping but we have got good supervision and the rates at which they are coming up and their mining is really right now target now.
Paul Wright: As you are aware, there is a history of underground mining in Turkey and this mine as with Kisladag will transition into owner operated on the underground and given the location I don't think there is too many frankly miners underground miners in Turkey that don't have their applications in to work with us and I think this is one of the real strengths of operating in Turkey is frankly the quality of contract is in the quality of the workforces.
Barry Cooper - CIBC: Well certainly where that mine is located is a real gem for people wanting to have nice commute I guess.
Paul Wright: Give it a choice of the Black Sea and the fog and the rains and the winter versus well yes.
Barry Cooper - CIBC: Then I am kind of thinking I know the answer of this but maybe I will with the slippage at the Eastern Dragging, is there any way do you have any flexibility in any of the other deposits to kind of makeup what appears to be fairly significant lost production at least from that mine for 2011?
Norm Pitcher: It's suffice to say that funds cruise are coming out barrier and will be appropriately applied to ensure that we produce as much hours we can for the corporation next year as we do next year.
Barry Cooper - CIBC: Hey good enough. Thanks you answered all my questions from David Christie from Scotia Capital. Please go ahead.
David Christie - Scotia Capital: Good afternoon gentlemen, just to a couple of quick questions. On Eastern Dragon would you be able to give me what the CapEx for the rest of the year and next year is based on where things are now?
Ed Miu: David it's going to depend exactly when we get started on and given that were days away from the beginning of November and we don't have the permits yet. The number will depend on when we get started here.
David Christie - Scotia Capital: What's your total CapEx as you see it right now?
Paul Wright: $70 million.
David Christie - Scotia Capital: Oh $70 million. So its still about the same it was. And. If you can give me that number what is the rest of the year and next year?
Ed Miu: Probably that should consider for the rest of year as -- you are probably in about 25 million. Well I'll get that number for you.
David Christie - Scotia Capital: Look out for it over next year. I was just looking at the grades or the I guess they are doing in Tanjianshan; it looks like they have fallen a bit this quarter. I was wondering if we are going to see the same kind grade trend a next year and also on the strip ratios were different than they had been well actually Tanjianshan goes over the place but what do you think the strip ratio will be for the coming year?
Norm Pitcher: I don't think it's appropriate or accurate to conclude if there is any downward trend in grades from either Tanjianshan or Kisladag, David. That would be inaccurate. In terms of guidance for strip ratio next year you will get that when we will provide the total guidance for the corporation by the year end or beginning of the next year.
David Christie - Scotia Capital: Okay so the grades that we saw this quarter versus last and the past four quarters are not in trend?
Paul Wright: Yeah those are expected. I can tell you for both Tanjianshan and Kisladag, we are bang on grade year-to-date where we should be.
David Christie - Scotia Capital: Okay. Perfect. That's great because and you've finished the exploration in Eastern Dragon for the year? You were drilling those (inaudible) and to date there not any report.
Paul Wright: No we're drilling a different project, a little bit to the South. We haven't been drilling on the main Eastern Dragon project at all.
David Christie - Scotia Capital: Okay, so we haven't got to that yet. Okay. Perfect. Thanks guys.
Operator: Thank you. Our next question is from Harish Srinivasa from Dundee Securities. Please go ahead.
Harish Srinivasa - Dundee Securities: My questions were answered. Thank you.
Operator: Thank you. Our next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni - Credit Suisse: To follow-up, the rain in White Mountain, is that -- I know that atypical amount of rain but is that the normal rainy season in that part of the world?
Paul Wright: Your talking about Jinfeng probably?
Anita Soni - Credit Suisse: Yes
Paul Wright: Yeah. Yeah, that's right. That's the season.
Anita Soni - Credit Suisse: Till when does that last?
Paul Wright: Well its sort of finishing. Its kind of -- its late summer, early fall over there.
Anita Soni - Credit Suisse: All right. And then, just a reminder of the catalyst the exploration update in November, metallurgical test by year for Kisladag and then in January budget forecast kind of -- projections for 2011.
Paul Wright: That's just about it.
Anita Soni - Credit Suisse: Okay, thanks.
Operator: (Operator Instructions). Our next question is from Don MacLean from Paradigm Capital. Please go ahead.
Don MacLean - Paradigm Capital: Good morning guys. Just wondering if you could characterize the Kisladag drilling a little bit more. I know you're going to be putting out an update on the exploration but just give us a sense of maybe what the goals are in terms of -- is the focus more on moving into under explored areas or is it inferred conversion, re pricing it with the different pit shell?
Paul Wright: We're drilling -- its really sort of the remainder of what we're doing this year is a combination of step out into what we call the South West extension and some sort of infill or lesser explored areas in the main zone as well.
Don MacLean - Paradigm Capital: Great. Okay, thank you.
Operator: Thank you. Our next question is from Tanya Jakusconek from National Bank Financial. Please go ahead.
Tanya Jakusconek - National Bank Financial: Great, thank you. I just have an accounting question for Ed. Just on the exploration, it looks like you only expensed about $11.5 million for the nine months and I'm just wondering with the budget that was given of $0.32 to $0.33, are we expecting a lot of exploration expenditures expensed through the income statements for Q4? Its going to be a big number otherwise.
Ed Miu: As pointed by along the budgets for the years, the $35 million and we are expecting to under spend that slightly. To date we've spent $11 million. Going forward, through the remainder of the year, we are not projecting to have -- to add too much expense exploration in the fourth quarter. Capitalized exploration expense, yes there will be some addition in the fourth quarter but not much on the expense side.
Tanya Jakusconek - National Bank Financial: Okay. So similar to the Q3 at about $5 million?
Ed Miu: At about or maybe slightly less.
Tanya Jakusconek - National Bank Financial: Okay. Great. Thank you so much.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. Wright.
Paul Wright: Thanks operator and thanks everybody for attending and the questions that were posed and look forward to talking to you on the next quarterly call.